Operator: Good day, and thank you for standing by. Welcome to the Lundin Mining Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to Jack Lundin, President and CEO of Lundin Mining. Please go ahead.
Jack O. Lundin: Welcome to our third quarter 2025 conference call. The financial results press release and presentation are on our website where you can also find a replay of this call. All figures today are in U.S. dollars unless stated otherwise. After the presentation, we will open the floor to questions. Today's webinar will include forward-looking statements that involve risks and uncertainties. Please review the cautionary notes on Slide 2 and the disclaimer in our MD&A. With me today is our Chief Operating Officer, Juan Andres Morel; and our Chief Financial Officer, Teitur Poulsen, to discuss our Q3 operating and financial results. Touching on the highlights from the quarter. Consistent operational performance continues to drive solid financial results, which I'll briefly summarize on the next slide, and Juan Andres and Teitur will provide additional details shortly. We've tightened our production guidance ranges, increased copper guidance and reduced cost guidance, reflecting the strength and stability of our operations. We continue to advance the Vicuña opportunity during the quarter given the positive momentum and many working fronts that are progressing well against the baseline plan, we felt it was the right moment to further strengthen the management team. Effective tomorrow, Ron Hochstein will be leaving Lundin Gold to join Dave Dicaire in the rest of the Vicuña Corp. team, where he will support as Chief Executive Officer of the joint venture. Ron joined a group of familiar former colleagues, many of whom were involved on the successful project phase of the Fruta del Norte gold mine in Southern Ecuador, currently owned and operated by Lundin Gold. Together, the team will look to build on a successful track record by bringing the Vicuña project towards the sanction decision and ultimately, development and operations. Our operational success goes hand-in-hand with our safety performance. In the first 9 months of the year, we're pleased to report no major injuries across any of our operations and the total recordable injury frequency rate of 0.29, the lowest in the company's last 10 years. This achievement underscores our commitment to risk management and the effectiveness of our proactive improvements to critical controls. Lastly, as we outlined at our Capital Markets Day in June, we're advancing several near and midterm growth opportunities across each of our three Latin American operations. One key initiative relates to the Caserones cathode growth opportunity, and I'll provide an update on that towards the end of today's presentation. On the next slide, we're pleased to announce that the third quarter was the best quarter year-to-date by most metrics. We're seeing the benefits of a simplified portfolio, full potential initiatives and disciplined planning and the execution of our plans are paying off now. Copper production for the quarter totaled 87,400 tons, primarily driven by a strong performance at Caserones from higher copper grades and elevated cathode production. As a result, we have increased annual copper guidance by approximately 11,500 tons in the midpoint. The new guidance range is 319,000 to 337,000 tons of copper, improving by about 3.5% when you compare the midpoint. Gold production was in line with the last quarter at 38,000 ounces, and year-to-date, we are tracking to achieve our full year guidance. During the quarter, we produced copper at a consolidated cash cost of $1.61 per pound, benefiting from stronger gold prices and cost reduction efforts at our assets through our full potential programs. We have since lowered cost guidance to $1.85 to $2 a pound and tightened our production ranges on several of our assets as we enter the final quarter of the year. We will provide details on guidance improvements later in this presentation. And on the operational financial performance, we delivered over $1 billion in revenue in Q3, making it one of the strongest quarters in the company's 30-year history. And we generated approximately $490 million in adjusted EBITDA and $383 million in adjusted operating cash flow. We also declared our 38th regular quarterly dividend, highlighting our commitment to financial discipline and shareholder returns. There were no share buybacks in the quarter. Year-to-date, we've purchased or repurchased 12.6 million shares for approximately USD 104 million at an average price of CAD 11.70 per share. With about $45 million remaining under our $150 million buyback program, subject to market conditions, we intend to complete the buybacks before the end of this year. However, any shares that are not purchased will be turned into a special dividend, ensuring we deliver on our $220 million total annual return target. I would now like to invite Juan Andres, our Chief Operating Officer, to discuss our production results for the quarter.
Juan Morel: Thank you, Jack, and good morning, everyone. Our assets continue to perform well, and the focus on increasing our operational discipline is correlating to strong safety and production results. As mentioned earlier, we increased copper guidance, and I will discuss that later on. Copper production for the company was 87,400 tons for the quarter and 244,200 tons year-to-date, which puts us in a comfortable position to meet our increased guidance range for the year of 319,000 to 337,000 tons of copper. Gold production for the quarter totaled 37,800 ounces and 107,700 ounces year-to-date. The company is positioned well going into the end of the year and tracking to production guidance on a consolidated basis for copper, gold and nickel for 2025. At Candelaria, copper production for the quarter totaled 37,000 tons, along with 19,900 ounces of gold. Candelaria continues to be extremely consistent this year, softer ore from Phase 11 led to higher throughput in the mill, which processed 8.1 million tons of ore during the period. This is the highest throughput in a quarter in the last 5 years and the second highest quarter for throughput since we have owned the asset. Year-to-date, Candelaria has produced 111,000 tons of copper and 61,500 ounces of gold, which puts Candelaria well on track to meet guidance for the year. We anticipate production levels in the fourth quarter at Candelaria to be in line with Q3. At Caserones, copper production reached 35,300 tons in Q3, one of the strongest quarters since we have owned the asset. Year-to-date, it has produced 93,300 tons. As mentioned last quarter, the asset is second half weighted. Head grades have improved in the second half of the year and should continue through Q4, putting Caserones on track to meet guidance. Cathode production continued to outperform expectations, but in line with what we announced in June during our Capital Markets Day. A total of 6,300 tons of copper of cathodes was produced in the quarter driven by increased material placed on the leach pads and improved irrigation practices. We have updated the hydrometallurgical model for the dump leach and anticipate cathode production for the full year to be approximately 24,000 tons, which is higher than what we have planned at the beginning of the year. This strong capital production has led us to increase overall guidance for Caserones and tighten the range. The new copper guidance is forecast to be 127,000 to 133,000 tons for the full year at Caserones. In the quarter, Chapada produced 12,600 tons of copper and 17,900 ounces of gold. Production at Chapada continues to be weighted toward the second half of the year, and fourth quarter production should be in line with Q3. At Eagle Mine, nickel production was 2,700 tons and copper production was 2,400 tons for the quarter. Mill throughput was strong at 183,000 tons, which was the highest quarterly throughput in the last 2 years. Eagle is tracking to guidance and is expected to be within 9,000 and 11,000 tons of nickel and within 9,000 and 10,000 tons of copper for the year. Year-to-date, operations have been performing well. Strong capital production and throughput at Caserones has led to a guidance increase for approximately 10,000 tons. As mentioned, the new guidance range for Caserones is now 127,000 to 133,000 tons. With increased confidence going into the end of the year, we have tightened the guidance ranges for Candelaria and Eagle. The new copper guidance range for Candelaria is 143,000 to 149,000 tons and for Eagle is 9,000 to 10,000 tons of copper. Consolidated copper production guidance range is now 319,000 to 337,000 tons of copper an improvement of approximately 11,500 tons to the midpoint of the guidance. Consolidated gold production guidance is now 135,000 to 146,000, representing a tightening of the range for improved confidence at Candelaria and Chapada. Overall, we're in a good position entering the fourth quarter. With improved guidance and consistency from our operations, we are tracking to reach the midpoint for our guidance for all metals. I would now like to turn the call over to Teitur to provide a summary on our financial results. Thank you for your attention.
Teitur Poulsen: Thank you, Andres, and good morning, everybody. I'm very pleased to be able to present a strong financial quarter for the company. The company's financial performance was supported by strong operational results, as Andres has just now presented, coupled with favorable copper and gold prices. These factors enabled the company to achieve another quarter of strong financial performance. The revenue for the quarter came in at $1 billion with our revenue remaining heavily weighted towards copper, which accounted for 79% of the revenue mix. Gold and nickel contributed 13% and 3%, respectively. With the price of gold hitting all-time highs, we have seen our gold revenue contribution climb by about 2 to 3 percentage points. During the quarter, our Chilean mines, Candelaria and Caserones generated 74% of the company's revenue. In combination with Chapada in Brazil, operations in South America represented 95% of total revenue. Looking at volumes sold inventory levels of concentrate and realized pricing. During the period, we sold approximately 79,000 tons of copper at a realized price of $4.61 per pound, which is slightly better pricing than the average LME spot price for copper during the period. As disclosed in our pre-release in October, we incurred a shipment delay of approximately 20,000 tons of copper concentrate at Caserones due to weather-related impacts at the port of Punta Totoralillo. This has resulted in company carrying higher than normal inventory levels at the end of Q3. This elevated level of inventory is expected to unwind during Q4, and thus having the revenue and cost of goods sold associated with this inventory to be recorded in the fourth quarter, 2025. Traditional pricing impact in the third quarter was positive by $11 million, primarily driven by gold ounces that settled in the quarter. The realized gold price during the quarter was just below $3,900 per ounce. At the end of the quarter, 78,000 tons of copper were provisionally priced at $4.65 per pound and 34,000 ounces of gold were provisionally priced at $3,800 per ounce and remain open for final pricing adjustments in Q4. Turning to Slide 14. Production costs totaled $490 million for the quarter, consistent with the past few quarters. At Candelaria, total costs were higher compared to previous quarters due to higher mining costs and higher ore milled during the period and due to reclassifying certain stripping costs from sustaining CapEx to production costs. Cash costs have continued to benefit from strong gold prices and remain in the $1.90 range. For the full year, we reiterated the cash cost guidance of $1.80 to $2 per pound for Candelaria. Caserones costs for the third quarter are lower than normal due to inventory build relating to the deferred shipment of concentrate into the fourth quarter, representing approximately $20 million in costs associated with this delay. Costs in the third quarter also benefited from certain one-off credit notes from certain suppliers and due to a new and more cost-effective equipment maintenance contract. Total costs were in line with expectation of $158 million for the quarter when adjusted for the above-mentioned items. Cash cost at Caserones were $1.86 per pound and benefited from better TCRC terms, stronger cathode production and byproduct credits as well as lower contract costs as mentioned earlier. We expect cash costs in the fourth quarter to continue to benefit from strong cathode production and byproduct pricing and have lowered our guidance range for Caserones to between $1.15 to -- sorry, $2.15 to $2.25 per pound, representing an approximate $0.30 per pound decrease. Chapada's total cost for the third quarter amounted to $96 million, reflecting higher mill throughput during the quarter and volumes sold. C1 costs continued to decrease compared to prior period and came in at $0.50 per pound for the quarter, primarily due to higher byproduct credits from gold prices. We are reducing the full year cost guidance range again to $0.90 to $1 per pound from the previous guidance range of $1.10 to $1.30 per pound. On a consolidated basis, our C1 cost for the quarter was $1.61 per pound, well below our full year guidance range of $1.95 to $2.15 per pound. Based on the adjustments mentioned above, we are, as previously mentioned, reducing our consolidated cash cost guidance range to $1.85 to $2 per pound for the full year. Total capital expenditure, including both sustaining and expansionary investment was $160 million for the quarter and $485 million for the 9 months of the year. Full year guidance for the total capital expenditure has been revised down by $45 million to $750 million due to a deferral of projects at Candelaria and Caserones, as well as reclassifying some of the capitalized stripping costs at Candelaria to production costs. For sustaining capital, we expect spending to increase going into the fourth quarter to reflect the roughly $170 million that remains to meet guidance for the full year. At Vicuna, capital expenditure during the quarter was $51 million and year-to-date, $126 million and is tracking to guidance of $250 million for the full year. Q3 expenditure was primarily focused on field activities for water program, drilling, trade-off studies, engineering, cost estimation and permitting and preparation for the integrated technical study in the first quarter 2026. Our key financial metrics for the third quarter are presented on Slide 16. Adjusted EBITDA for the quarter was $490 million, with a 49% margin. Adjusted operating cash flow for the quarter totaled $383 million and for the first 9 months totaled just below $1 billion, including cash tax payments of close to $300 million. The company achieved solid free cash flow from operations of $169 million despite the impact of $113 million working capital build during the quarter. Adjusted earnings amounted to $255 million for the quarter, which translates to an adjusted EPS of $0.18, an improvement of 64% from last quarter. Turning to cash generation during the third quarter. We entered the quarter with around $279 million in cash and a net debt position of $135 million. We generated adjusted operating cash flow of $383 million after cash tax payments of $86 million and incurred a working capital build of $113 million. The sustaining capital investment amounted to $109 million, which resulted in free cash flow from operations for the quarter of $169 million. We had total shareholder and NCI distributions of $43 million during the quarter, of which $17 million related to the payment of regular dividends. After debt, leasing and interest payments as well as the deferred payment of $10 million relating to our Caserones acquisition, we ended the quarter with cash of around $290 million and a net debt position of $108 million, excluding lease liabilities. By the end of the year, we expect to be essentially net debt free. We continue to advance the process to increase our revolving credit facility as part of our strategy to fund future growth plans. We have a number of interested banks, both existing lenders and potential new lenders and have been progressing term sheets and expect the process to conclude towards year-end or in the early part of next year. So overall, a very good quarter that aligns with the financial outlook that we provided at our June Capital Markets Day. So, I will now turn the call back to Jack for some final remarks.
Jack O. Lundin: Thank you, Teitur. I'll take a few moments to discuss one of our near-term growth initiatives, which we outlined at our Capital Markets Day back in June. Cathode production at Caserones continues to improve. We delivered another strong quarter and are on track to produce approximately 24,000 tons of cathodes this year compared to an original plan of approximately 16,000 tons. Total cathode plant capacity is roughly 35,000 tons. As we discussed in June, our goal is to capture an additional 7,000 to 10,000 tons of cathode production from a baseline of 15,000 tons which was the average annual production over the 2 years prior to us acquiring Caserones. Over the past 8 to 12 months, we've implemented several key operational improvements. Firstly, we enhanced leaching practices, including better dump leach coverage and higher irrigation rates. Secondly, we have increased oxide material placement on the dumps supported by improved geological understanding and tighter waste control in the open pit. These actions are now translating into higher cathode output as the benefits flow through with leach cycle residence times. As mentioned by Juan Andres, we also recently completed an update to our hydrogeological leaching model, improving our ability to predict leaching kinetics and incorporate recent operational gains. Based on these improvements, we see potential for future annual cathode production to increase further, which we are now analyzing. On the next slide, before reaching the closing remarks, I would like to outline a few upcoming catalysts to look out for. We're in the final stages of completing our reapplication and see a potential window to submit before the end of the year. In the first quarter of 2026, we expect to complete the integrated technical report for the large-scale fully integrated development and operations plan for the Vicuna project. This milestone will outline a clear path for Lundin Mining to become a top 10 global producer once in full scale operation at Vicuna. In parallel, and as Teitur mentioned, we're advancing our financing strategy to support these growth plans. We've initiated the process to increase our revolving credit facility and continue to see strong interest from our existing banking partners as well as future lenders. We expect this process to conclude towards the end of this year or early part of next year, as Teitur mentioned. At Chapada, the Saúva project represents a compelling near mine growth opportunity with the potential to add 15,000 to 20,000 tonnes of copper and 50,000 to 60,000 ounces of gold annually, production increases of approximately 50% and 100%, respectively, for the Chapada operation. And the study includes expanding grinding capacity to process higher grade ore from Saúva through the Chapada mill. Permitting and technical work are underway with the pre-feasibility study targeted for completion by the end of this year. We look forward to providing further updates as this exciting project continues to advance. Touching on the conclusions now. We delivered our best quarter year-to-date, producing 87,353 tonnes of copper at a C1 cash cost of $1.61 per pound. Strong operations and higher gold prices enabled us to raise production guidance and lower consolidated cash costs. The copper guidance midpoint increased by 11,500 tons to 319,000 to 337,000 tons of copper driven by stronger cathode production at Caserones and improvements in the leaching circuit at Caserones. Cash cost guidance at Caserones and Chapada dropped lowering the consolidated midpoint by $0.125 to $1.85 to $2 a pound. We generated $383 million in adjusted operating cash flow, strengthening our balance sheet with the company expected to essentially be net debt free by year-end. We continue to be in strong financial standing as we look to advance our growth initiatives at Lundin Mining. Looking ahead, our priorities remain focused to continue to deliver on strong safety performance which directly supports our operational excellence programs, advancing near-term growth and preparing Vicuna for potential sanctioning in 2026. The company enters Q4 well positioned with key catalysts over the next 4 to 6 months, including, as mentioned, a RIGI application in the near term and an integrated technical report for Vicuna. All-in-all, a very solid quarter, and we remain poised to deliver a strong overall 2025. Operator, I'd like to now open up the call for questions. Thank you.
Operator: [Operator Instructions] The first question will be coming from the line of Orest Wowkodaw of Scotiabank.
Orest Wowkodaw: Congratulations on the strong quarter. I'm just curious with the integrated technical report for Vicuna District, I guess, only a couple of months now from completion. Just curious if there's been any thought to any potential scope changes on what Phase 1 or Phase 2 could look like and whether we should still be anticipating, call it, around 175,000 ton a day operation for -- that would reflect Jose under Phase I? Or -- I'm just trying to understand if any of the goalposts have been locked in at this point or whether the project scope is still under discussion?
Jack O. Lundin: Orest, thanks for the question. I would say that, broadly speaking, the scope for Phase 1 has not changed significantly since we last gave an update on Jose Maria, which is considered to be Phase 1 for the Vicuna project. We're working through this integrated technical report, which will have a lower level of definition as you get into the later phases. But I would say our level of confidence, especially for Phase 1 continues to grow with that -- those numbers that you mentioned there. So, the oxides, we're looking at opportunities, continuously looking at areas where we can improve costs and drive value. And I think as this technical report comes together and we put all the phases together and look at various trade-offs like that will show in Q1 when the report is published, but Phase 1 specifically, we continue to refine and derisk on scope that was -- that we've been speaking about for the last number of quarters here. So, we're on track and no significant changes should be expected from Phase 1 particularly.
Orest Wowkodaw: Okay. And just as a follow-up on the time line, just given already in November, do you have a sense of when in Q1, we could anticipate that?
Jack O. Lundin: I can't pinpoint an exact date for you, Orest. But I would say in the towards the latter part of Q1. That will be coming out with the results. And then, there's going to be a period between when we come out with the results and when we actually publish a technical report. But obviously, the team is working very hard on trying to get everything together. So that, some part in the second half of Q1, we'll be able to publish the results followed by the report coming out within 45 days of when the results get published.
Operator: The next question will be coming from the line of Lawson Winder of Bank of America Securities.
Lawson Winder: Very nice quarterly results, and thank you for today's update. If I could also ask about the integrated Vicuna plan and just get a sense for one aspect that Filo had previously proposed, which was this idea of a precious metals-focused initial starter pit. I mean, for a smaller company like Filo, it made a lot of sense. For a larger company like Lundin, perhaps it's just not enough capital or cash flow to really move the needle. But I mean, that would be in a much lower gold price than I would make a comment like that, I think in the current gold price, I mean, is there any thoughts potentially doing some sort of precious metals-focused starter pit with Filo in conjunction with the Phase I at that you just spoke about?
Jack O. Lundin: Right now, we're still considering kind of going ahead with the base plan that we've outlined Phase 1 being Jose Maria. Of course, with commodity prices going higher, we see if there's opportunities to maximize value based on that -- based on market conditions. But right now, Lawson, I would say Phase 1 still is very much contemplating Jose Maria and then Phase 2 being the oxides of Filo, which includes base and precious metals. So, to summarize, no, we're not considering changing the scope right now.
Lawson Winder: Okay. Perfect. And then, just thinking about some of the opportunities that lie ahead, including the success you've had at Caserones, this update we're looking for in early 2026 on Sauva. The current 2026 CapEx plan that you've laid out, is there a risk that ex Vicuna, that could change materially from what you currently have in the market?
Teitur Poulsen: It's Teitur, here. But on CapEx, we have not guided any CapEx for the company in 2026. What we did say at the Capital Markets Day that we had around about $155 million, I believe it was for the Sauva expansion, and that number remains intact.
Lawson Winder: And then as we think about Caserones, I mean, could you expect something material or I guess the way to think about it then is, can you expect something materially higher from what you guys are on track to spend this year?
Teitur Poulsen: No, I don't think so. I mean, we will come up with our usual annual guidance in January, and all that will be disclosed, but I would not expect any significant deviations on current trends. No.
Jack O. Lundin: And that increase in cathode production that we outlined in the presentation doesn't come at any real additional capital requirements, which is why it's such a robust opportunity. And really, the team has been -- behind it has been just working on optimizing the leaching circuit. So, as Teitur said, we wouldn't expect to come out with any materially increased capital numbers for Caserones specifically.
Operator: [Operator Instructions] And our next question will be coming from the line of Daniel Major of UBS.
Daniel Major: Congrats on a good quarter. Just first question on the oxide production profile at Caserones is 25,000 ton run rate this year. Is that a reasonable assumption to bake into the subsequent couple of years? And can you remind us what was embedded in the 130,000, 140,000 guidance? I've got about 15,000 tons previously. So is there upside to that '26 previous guide number?
Juan Morel: Daniel, this is Juan Andres. Thank you for the question. Yes. I think the answer to your question is yes. Looking forward we're looking at sustaining that level of production from the cathode plant. So, 24,000, 25,000 tons per day, at least for the next, let's say, 3, 4 years is a good, good assumption.
Daniel Major: Okay. And then, just a question on -- follow-up on the CapEx, sorry, if I'm getting some of the numbers mixed up here. But is it fair to assume the sustaining CapEx for the group, excluding any spend at Vicuna would be a similar kind of run rate, so like $400 million or so? And then on top of that, you're assuming in late FID of Vicuna late in the year, probably a similar run rate of spend at the Vicuna. So, are we looking at a similar sort of $650 million, $700 million range. Is that reasonable for CapEx for next year, excluding any other FIDs?
Teitur Poulsen: Yes. I mean, we -- as I said, we will come up with further detailed guidance in January. But this year, we guided $530 million in sustaining CapEx for the full year, and we've now guided that down to $410 million. I think it's important to say that, that saving is -- or that reduction is not really a saving. It's more a deferral of projects from 2025 into 2026. Also remember, our CapEx guidance is based on cash payments, not incurred activity. But I think that run rate from about the current of 2025 run rate we have, it should be roughly what we expect to see going forward.
Jack O. Lundin: Just to clarify, $530 million down to $510 million.
Teitur Poulsen: Sustaining CapEx, excluding growth CapEx.
Jack O. Lundin: Okay. Yes. And for Vicuna, like we're going through the 2026 budget now with the Vicuna team. And similarly, we would be updating kind of the guidance range on that. But hopefully, we'll be in a position where we can continue to ramp up with activities prior to a sanction decision. So, it wouldn't be like -- you could expect that provided progress continues on the trend that it is, that it would be higher than -- higher next year than it is this year.
Daniel Major: Okay. That's clear. And then, maybe just a final one. This reasonably sizable working capital build in the quarter, $112 million or something, which puts you not up quite a bit in terms of working capital year-to-date. Would you expect that to reverse in the fourth quarter?
Teitur Poulsen: Yes, I would expect that. It's always hard to predict the exact timing of year-end shipments, et cetera. But if everything goes according to plan, we should see an unwind of that in the fourth quarter, yes.
Operator: [Operator Instructions] And our next question is coming from the line of Dalton Baretto of Canaccord.
Dalton Baretto: Congrats on a great quarter and also a great choice appointing Ron as CEO of Vicuna. I wanted to ask about some of these cross-border negotiations that are still ongoing. Jack, can you sort of remind us what elements are under discussion? What the status is? And what's going to be assumed in the technical report when it comes out?
Jack O. Lundin: Thanks, Dalton. Yes, I fully agree. It's great to officially bring Ron over to Vicuna, starting effectively tomorrow once Lundin Gold gets through their quarterly results. So the -- there's a binational treaty that exists today between Chile and Argentina. I think it was established in 1997. There is on that treaty of Vicuna protocol that exists during this current exploration phase that the project is in. So, we're able to kind of move from one side of the border to the other freely. And at the moment, what we would be looking at doing is specifically when we get to Phase 4, and we're mining from Filo sulfides and getting to full scale, that would require the binational treaty to turn into kind of an exploitation arrangement. And at that time, we would be contemplating significant pieces of infrastructure like desalinated water line, potentially concentrate slurry line and really integrating all of the infrastructure together during that final phase of the project. But initially, what we're looking at doing is building Jose Maria, 100% within Argentina and then trucking the concentrate out. And so, we don't need to have that significant uplift in that treaty. But we have time. There is engagement between both the Chilean and Argentinian authorities to elevate this national treaty into exploitation phase, but that's not required during the initial years of production through Jose Maria.
Dalton Baretto: Got it. So, no concerns around moving the concentrate out through Chile, no concerns around bringing water up or any of that kind of stuff?
Jack O. Lundin: I think it's early days that we're working on that plan and that scope, and we have time to ensure that we do it the right way. So far, our baseline schedule is intact. And I think dialogue is strong, and we just need to continue building on that momentum. So overall, I think we're feeling very positive about all phases, and we'll just continue to derisk as we bring the project forward towards integrated study and eventual sanction.
Dalton Baretto: Got it. And then, once the study comes out and you put a pin in it, what are sort of the next remaining steps before an FID?
Jack O. Lundin: So, I think having fiscal stability, having the integrated technical report released and published, having our financing plan so that Lundin Mining can ensure that we can fund our 50% portion of Phase 1. And then, there's various permits that we're still working through and government agreements in the provincial level at San Juan that we would need to receive. We're updating our environmental impact assessment as well. So, there's a number of kind of items on the checklist that we would be required to fulfill before going to the shareholders being BHP and Lundin Mining for a sanction decision. But we're progressing well on all of those fronts.
Dalton Baretto: So this could be a sort of a back half of next year type thing?
Jack O. Lundin: If we continue to progress on the plan that we currently are on, then it's not out of the question to have a sanction decision coming at the back half of next year. Of course, a lot of work to be done between now and then, and we're working to make sure that we get all of our ducks in a row to achieve that. So, that's the hope.
Dalton Baretto: That's great. And maybe just one last one. This is more of a confirmation thing than anything else. What you're applying for under RIGI, it's is all the phases, right?
Jack O. Lundin: That's a great question. So, because we have Jose Maria and Filo del Sol together now under Vicuna Corp within the same SPV, the projects are integrated together and they're looked at as one large-scale project. However, for us, it's important to get fiscal stability and approvals and permits for Phase 1 as we have much more definition around Phase I, but the intention would be achieving fiscal stability on the entire Vicuna project, which includes both Jose and Filo and potential future discoveries in the region. As we know, it's a very prospective area, and we definitely feel like we'll be finding more minerals as we continue to spend more time in the area.
Operator: Thank you. And there are no more questions in the queue. At this time, this does conclude today's conference call. You may all disconnect.